Operator: Good morning and thank you for standing by. Welcome to Stella-Jones’ First Quarter of 2025 Earnings Call. At this time all participants are in listen-only mode. Following the presentation, we will hold a question-and-answer session. [Operator Instructions] I would like to remind everyone that this conference call is being recorded on Wednesday, May 7, 2025. Please note that comments made on today's call may contain forward-looking information and this information by its nature is subject to risks and uncertainties. Actual results may differ materially from the views expressed today. For further information on these risks and uncertainties, please consult the company's relevant filings on SEDAR+. These documents are also available in the Investor Relations sections of Stella-Jones website at stella-jones.com. Additionally, during the conference call, the company may refer to non-GAAP measures, which have no standardized meaning under GAAP, and are not likely to be comparable to similar measures presented by other issuers. For more information, please refer to the company's latest MD&A available on Stella-Jones website and on SEDAR+. Lastly, we have prepared a corresponding presentation which we encourage you to follow along with during the call. I will now hand the call over to Erin Vachon, President and Chief Executive Officer of Stella-Jones. Eric?
Eric Vachon: Thank you, Ina. Good morning, everyone, and thank you for joining us today. With me on today's call is Silvana Travaglini, Senior Vice President and Chief Financial Officer at Stella-Jones. Earlier this morning, we issued our press release reporting our results for the first quarter of 2025. Along with our MD&A, it can be found in the Investor Relations section of our website at www. stella-jones.com as well as on SEDAR+. As a reminder, all figures expressed on today’s call are in Canadian dollars unless otherwise stated. In Q1, we continued to deliver solid profit margins and maintained a robust financial position, even as ongoing macroeconomic headwinds, unfavorable weather conditions, and a shifting landscape for our railway type business weighed on volumes. We have a resilient business with strong core fundamentals, which enabled us to manage through the current dynamic environment while executing on our strategy to further capture infrastructure growth. Our expansion into the steel transmission market announced earlier today enhances our resiliency by enabling us to better serve the growing needs of our infrastructure customers. Turning to a performance review of our main product categories starting with Utility Poles. Q1 followed the same trajectory as the last two quarters. Our utility customers continue to affirm their critical needs for pole replacement. While utilities are committed to the timely maintenance and upgrade of the electrical grid, their capital deployment strategies and timing of investments remain influenced by the ongoing economic challenges that have persisted since the second half of 2024. We are, however, encouraged by the increase in quoting requests, and we continue to anticipate stronger volume performance in the latter part of the year. In terms of spot pricing, pressures are expected to persist in certain regions pending increased demand. Our exposure to the spot market remains limited at 25% of our total utility pole business and is expected to be mitigated by favorable contract pricing. For Railway Ties, sales in the first quarter were impacted in large part by a Class 1 customer now treating more of their Railway Ties internally. While this shift will result in lower sales going forward from this customer, we are executing on opportunities to strengthen our relationships with other Class 1 customers and we anticipate to recover the volume shortfall. The Railway Tie landscape is evolving, with customers looking to Stella-Jones to deliver meaningful solutions to address their demand and optimize their business model. We will leverage this strategic shift to improve the profitability of this product category. Railway Ties remain a stable source of revenue. Residential Lumber's performance this quarter was marked by the slower start to the exterior home improvement season. While volumes were down due to unfavorable weather conditions, demand for the remainder of the year is expected to trend favorably. Even amidst a dynamic economic environment, our customers have expressed confidence in the demand outlook as the home remodeling spending is anticipated to be solid. The company remains confident in the long-term prospect of each of its main product categories, and we are excited to further capitalize on the growing North American infrastructure demand with the acquisition of Lockwell. A leading designer and manufacturer of lattice transmission towers and steel transmission poles, Lockwell will provide Stella-Jones a presence in the high voltage transmission space where wood Utility Poles are not commonly used. It is a step change acquisition that allows us to leverage our expansive sales and distribution network to offer a more comprehensive suite of products to customers. It also provides Stella-Jones with new growth opportunities in steel transmission structure markets. The addressable steel transmission market currently exceeds $5 billion in annual sales and its growth potential is supported by a robust pipeline of confirmed and newly announced transmission projects. With an expected backlog of transmission projects and nearly 45% of North America's transmission and distribution infrastructure nearing the end of its service life, the T&D market is poised for sustained growth. Our strategic presence in this attractive market positions us well to capitalize on these opportunities. We welcome Lockwell's approximately 220 employees to Stella-Jones and look forward to a bright future of better serving North America's utilities together. With that, I will ask Silvana to provide a more detailed overview of our first quarter financial results.
Silvana Travaglini: Thank you Eric and good morning everyone. Sales for the first quarter were down 5% organically, but we continue to deliver a solid EBITDA margin of above 18%, excluding the 5% margin impact from the insurance settlement recorded in Q1. While Utility Poles and Residential Lumber sales were relatively unchanged on an organic basis, Q1 sales were impacted by the decrease in the Railway Tie volumes when compared to the same period last year. For Utility Poles, we generated $419 million in sales in the first quarter, up from $402 million in the same period last year. Sales benefited from the contribution of newly secured business and stable contractual maintenance demand, but similar to the trend observed since Q3 last year, the pace of purchases by utilities and the timing of projects were unfavorably impacted by macroeconomic factors, which influenced the capital deployment strategies of our customers. Compared to Q1 last year, volumes were down 4%. Lower quarter-over-quarter volumes for poles were more than offset by favorable pricing and the positive impact of currency conversion compared to the same period last year. Sales of Railway Ties were down 14% organically this quarter to $208 million. The decrease was almost all attributed to lower volumes. Class 1 volumes decreased due to a shift by railroad to the internal treating of the Railway Ties, while non-Class 1 volumes were largely impacted by delays in projects which are expected to be recovered in the second quarter. Non-Class 1 demand remains strong. Residential Lumber sales were relatively stable at $88 million in Q1 of 2025 compared to $87 million in the first quarter last year. Q1 sales benefited from the increase in the market price of lumber, but volumes were down. Challenging weather conditions in the first quarter of 2025 contributed to lower volumes, especially when compared to unusually favorable weather during the same period last year. Turning now to profitability; EBITDA increased by $23 million to $179 million in Q1 of 2025. The increase was attributable to the settlement of an insurance claim of $38 million for a 2023 fire at one of our facilities, offset in part by a decrease in sales volume. Despite lower volumes, the company continued to generate a strong EBITDA margin. Excluding the impact of the insurance settlement, the first quarter EBITDA margin of 18% was lower than the record 20% generated in the same period in 2024, but in line with the annual margin we have generated over the last two years. Turning to cash flows; during the quarter, the cash flow used in operating activities was $16 million compared to $62 million used in Q1 last year. This improvement was largely attributable to lower inventory. We started the year with a higher level of inventory. As a result, the net investment in inventory in Q1 was lower and limited to the seasonal build of Residential Lumber inventory. We continue to expect to end the year with lower levels of inventory. We remain committed to a balanced approach to capital allocation. Over the last 12 months we generated cash from operations of about $450 million, deploying about $145 million towards investing in our business and a similar amount of about $150 million to shareholders return. The remaining capital of 155 million was used to bolster our liquidity. As at the end of March, we returned $380 million of capital to shareholders out of the $500 million committed for the 2023 to 2025 period. And yesterday our Board of Directors approved a quarterly dividend of $0.31 per share. We ended the quarter with almost $700 million in available liquidity and a net debt to EBITDA ratio of 2.6 times, unchanged from the ratio at the end of the year. A ratio above the target range is typical in the first quarter due to the seasonal working capital requirements. With a continued focus on profitability and working capital management, the leverage ratio is expected to be within the desired target range by the end of the year. After quarter end, we entered into a definite agreement to acquire Lockwell for an initial consideration of $58 million. This transaction is expected to close today. We are also planning to invest in a CapEx program totaling about $15 million to increase Lockwell's current output and enhance its operational efficiencies. Our strong balance sheet allows us to execute on strategic growth initiatives like Lockwell and continue to pursue value accretive acquisitions core to our growth strategy. In summary, with the strength of our business, our healthy financial position and strong cash generating ability, Stella-Jones is well positioned for continued growth and success in 2025. I will now turn the call back to Eric for his closing remarks.
Eric Vachon: Thank you, Silvana. Q1 has unfolded largely as anticipated and, at this stage, we maintain our guidance and remain confident in meeting our financial objectives, which will also benefit from the contribution of the Lockwell acquisition. As a reminder, Stella-Jones exposure to tariff is limited and while other macroeconomic conditions could continue to pose some challenges, we remain vigilant and prepared to adapt our strategies as necessary. Our continued focus on acquisitions remains a cornerstone of our growth strategy. The acquisition of Lockwell exemplifies our commitment to expanding our offering and enhancing our market position. We are dedicated to pursuing acquisitions that are accretive and complementary to our current infrastructure portfolio, further strengthening our overall business resilience. We remain steadfast in our pursuit of growth. We look forward in sharing more information at our next Investor Day schedule for later this year. Thank you for your continued support and trust in Stella-Jones vision of connecting communities through stronger infrastructure. As a reminder, later this morning we will be holding our Annual Meeting of shareholders. I would like to take this opportunity to recognize two outgoing Board members who will not be seeking re election this year. Mr. Jim Manzi, in his decade long tenure on our Board, helped drive a global compensation philosophy that was anchored in performance and ownership. And Mr. Rhodri Harries, member of our Board since 2020, who has made invaluable contributions to the Board's audit and environmental, health and safety committees in his time with us. On behalf of management, I would like to thank both of them for their judicious guidance and their service to our Board and its committees. This concludes today's prepared remarks and I will now open the lines to questions.
Operator: Thank you, Eric. [Operator Instructions] Your first question comes from the line of Hamir Patel from CIBC Capital Markets. Please go ahead.
Hamir Patel: Hi, good morning, Eric. Could you comment on how the margins of the Lockwell business would compare to your consolidated margins and also how they compare with wood pulses?
Eric Vachon: Yeah, So I would say very similar, Hamir, and that was one of the factors that made this business appealing to us, so very comparable.
Hamir Patel: Sorry, comparable to the wood poles, which I believe are higher margins than your consolidated margins. Would that be fair?
Eric Vachon: Correct.
Hamir Patel: Okay. And then just with the planned 15 million capital investment that you have planned, what sort of margin uplift and capacity increase would you expect from that?
Eric Vachon: From a capacity standpoint, we expect to double the capacity of the existing footprint in the facility in Candia, Quebec. And obviously throughput through the same footprint will definitely increase the margin by a couple of basis points.
Hamir Patel: Great. And I know the sales disclosure you gave for Lockwell was September 30, 2024. Can you speak to maybe how the trade impacts have affected -- how you think about sales from that business this year and maybe if the growth rate for Steel Pulse differs all that much from Wood Pulse?
Eric Vachon: Yes, no, certainly. So the September figure actually coincides with their fiscal year, so those were the results of the last fiscal year, which was September. Going forward, the backlog, the order book is very healthy and I'm going for definitely a good 24 months going out, so very optimistic about the outlook for that business and the demand in general.
Hamir Patel: Okay, great. And just a last question I had, Eric. Could you speak to the input cost dynamics with these steel structures and how the pass-throughs typically work there? And if there's any notable sort of lag that we should think about?
Eric Vachon: Right. So the way the contracts are structured there, there are indexes for steel that are associated to the product so all of the risk on fluctuation of the input material is actually passed on to the customer. So it's incorporated, so very little exposure from that standpoint. And Hamir, I apologize, you had another part to your previous question, which was regards to tariffs. And to date, in my last discussion with the team, as of last Friday, tariffs are passed on to the customers and orders are keep coming in and it's not a significant issue. Most of the suppliers to the US market are actually all outside of the US, so offshore and Canada. So everybody's on a level playing field from that perspective and tariffs are being passed through and customers are paying for them.
Hamir Patel: Great, thanks. Thanks, Eric. That's all I had. I'll turn it over.
Eric Vachon: My pleasure. Thank you, Hamir.
Operator: Thank you. Our following question is from James McGarragle from RBC. Please go ahead.
James McGarragle: Hey, thanks for having me on and congrats on the detail you announced today. Yes, I was just wondering if you can give us range of how you expect EBITDA to evolve during the year. I know coming into the quarter call, consensus was at 640, you announced the acquisition, you had the insurance settlement gain. But are you comfortable with that number and any color you can provide, especially as it relates to the poles and of the Railway Ties business.
Eric Vachon: Yeah, certainly. So obviously you mentioned the key topics. Excluding the insurance proceeds, we maintain our objectives to be over 17% as we stated previously. Very comfortable with how our business is heading for the balance of the year.
James McGarragle: Okay. And then just on the business. I know one of the Class 1 customers is kind of further utilizing some internal capacity. Do you expect that just to be a headwind in 2025 or that facility expected to ramp up over the next two to three years where that's going to be a further headwind into 2026 than into 2027?
Eric Vachon: Oh, it'll be the same though. What we announced today is essentially probably the biggest part of the impact going forward. So it's now sort of included in the way we view the balance of the year. And as I mentioned in my remarks, we're currently working on a few projects that will help us compensate the shortfall.
James McGarragle: All right, thank you. I'll turn the line over.
Eric Vachon: Thank you, James.
Operator: Thank you. And your next question comes from the line of Benoit Poirier from Desjardins. Please go ahead.
Benoit Poirier: Yes, thank you very much. Good morning everyone. First question, in terms of organic growth, how should we be thinking, Erik and Silvana for Utility Pole and Railway Ties, obviously given the macro environment, but also maybe given the tough comparison versus Q2 last year? I would be curious to have a little bit more color around those two segments for Q2.
Eric Vachon: While you bring up a good point, Q2 last year was a very strong quarter. So I would suggest probably a flattish performance with regards to that. We did mention in our comments that we believe or we're foreseeing some volume growth in the second half of this year for Utility Poles. So definitely comfortable not changing our views there to that mid-single digit growth for the year. For Railway Ties, because of one customer bringing their production internally and us working to re-adjust and compensate the shortfall, it would most likely be flattish for the year.
Benoit Poirier: Okay, that's perfect. And just with respect to the short line, what is the latest status in terms of funding with crisis given the whole new administration?
Eric Vachon: That's a good question. I mean no real changes since the last time we spoke. I mean there were discussions earlier this year or earlier in the quarter about the US government thinking of changing the structure of those Chrissy grads, ultimately they were not impacted or changed. Obviously our comments are a bit tinted with uncertainties and evolving macroeconomic situation, that would be one of them. So there is some cautiousness there with some short lines, but definitely still a very healthy market, strong demand all in all. So everybody has to work with what they know today, it's -- we're in Q2, it's the peak season for maintenance for all our product categories at this point and short lines have to seize the opportunity to do some work. So we're still seeing some very healthy demand in the non class one business.
Benoit Poirier: Okay. And just on Lockwell, I understand that you're a same level of playing play field right now with competitors outside the US but given you already have a solid foothold in the US, is there any -- and I think two-third of the volume of Lockwell goes into the US, so is there any plan to build a US facility down the road? And I would be curious to have your thoughts whether you foresee more M&A opportunities with steel pole and any thoughts about the leverage situation and the willingness to go higher than the three terms for the right one?
Eric Vachon: Well, that's a great question. So the Lockwell acquisition is definitely part of a roadmap of our projects to expand in this steel transmission market. Lockwell obviously is a transaction -- has been done at a multiple that is comparable to history. It's an expansion of our product offering to our customers. It comes with a solid management team. Very happy to see them come along with us for this ride. So, there definitely plans to expand the current footprint to continue pursuing M&A in this space. And we're definitely not necessarily ruling out any potential expansion in the US. Obviously we need to do some homework here to properly understand what the market has to offer. But we understand currently that there's lots of projects that are being structured and more news to come on that front. But we're looking at all possibilities to keep growing, growing this business. As I said, lattice and steel poles is a 5 billion sales annual market. It's a very attractive one. It expands our transmission capabilities beyond what our wood poles can do because it's very limited in that space. So all I can say is that all options are there. We have a strong team to anchor this venture into this new part of the business.
Benoit Poirier: Okay. And just curious, maybe Silvana, from a capital deployment in terms of leverage, given you're already at 2.65, I know you typically target 2 to 2.5. It's a stable business. So just wondering your willingness maybe to go up a little bit more from the leverage standpoint.
Silvana Travaglini: Well, we always said as part of our capital allocation obviously that the range of 2.5 that we would be willing to deviate above it for growth opportunities or strategic acquisitions. But currently, as we mentioned, we are expecting to focus on our working capital and our inventory management, so we are expecting a reduction in our inventory. So with that and with this acquisition, I don't see any issues for us to be still within the 2 to 2.5 times range before the end of the year.
Benoit Poirier: Excellent. Thank you very much for the time.
Eric Vachon: Thank you, Benoit.
Operator: Thank you. Our following question is from Michael Tupholme from TD Cowen. Please go ahead.
Michael Tupholme : Thank you. Good morning.
Eric Vachon: Good morning, Michael.
Michael Tupholme : Eric, yep, morning. So just on Lockwell, sorry if I missed this, but can you speak to historical growth there? And also I think it came up in the last question, but I didn't -- it wasn't really from you. So what is the sales mix split between Canada and the US for Lockwood?
Eric Vachon: Yeah, so the sales mix is about 30% Canada, 70% US currently. It is project based, so definitely it can shift over time depending on what utilities providing the project. What's interesting is Lockwell has been able to establish relationships with utilities across North America. So definitely a well balanced customer list, which is very attractive and a customer list that is common to Stella-Joneses, which is also exciting for us. But currently the mix is 30:70.
Michael Tupholme : Okay, sorry. Then in terms of the historical sales growth like you're coming about project based, does that mean there's some volatility here and it's not sort of differs from your wood poles business where we've seen kind of relatively steady growth over time. Like is it different characteristics with this business?
Eric Vachon: So looking at historical sales, they have a well balanced portfolio of customers that has brought in consistent business, so that's why I highlighted that in my previous answer. So they have not seen like down cycles, it's stable and that I can actually say it's actually growing for the last 18, 24 months. As you know, we keep hearing of transmission projects announcement across North America, including in Canada, in Quebec and Ontario as well, a lot of activity going on there. So the logbook for the next several quarters is actually full, so happy to say that a lot of the capacities is currently sold for the next year. So very excited how that management team approaches the market. So they've figured out a very good model that drives consistent revenue.
Michael Tupholme : Okay, perfect. And then just the capacity expansion you're undertaking. So is the plant near capacity at present and then this will double it or is there still room within the current footprint, but on top of that you're doubling it?
Eric Vachon: With what's being observed right now in the markets and the orders and confirmation of orders coming in, capacity is sold out. And the intent of the investment is to double the capacity because we can actually fill that capacity pretty quickly as well. So give it till the end of this year until we know we got a project going, but I do feel that we'll have the entire capacity, including the expansion, fully sold by the end of the year.
Michael Tupholme : Okay, great. And then. Sorry, one more on Lockwell. Just in response to some of Benoit's questions, you were talking about the potential to continue growing in this steel structures market and potentially additional M&A. So just want to sort of get expectations set properly here. Is the idea to continue on with that sort of imminently and right away or is the idea just -- is that more of a comment over the medium to longer term once you sort of digest this acquisition and understand what you've really bought here?
Eric Vachon: Yeah. So I mean, the first step obviously is to get our CapEx project going. So we've already done all the engineering work with the Lockwell team. We've got purchase orders ready to sign. We're just waiting to complete the acquisition. So I'm hoping to start seeing some of the equipment roll into the facility, let's say, in Q4 and early next year. So as that is unfolding, we'll be then looking at our options so we can invest and build or look at some M&A. M&A in the US is actually very light simply because there are no significant or sizable players, but there are some players here in Canada that we would be a nice opportunity for us as well. So we're definitely looking at our options. I don't want to go lightning speed into this, but we definitely want to make sure that we keep a good cadence to keep building on the momentum we have and keep growing our offering to the North American -- North America's utilities.
Michael Tupholme : Okay, perfect. And then just a couple about the existing business. So in utility poles, negative 1% organic growth in the first quarter, can you break that down in terms of the composition, price versus volume in Q1?
Eric Vachon: Yeah. So volume, I believe Silvana stated volume is about down 4% year-over-year and then it's offset by pricing and some effects, obviously.
Michael Tupholme : And then if I got everything you said earlier, the expectation for Q2 is broadly flat organic growth in poles, but you still feel comfortable at that mid-single digit organic growth for the full year, suggesting you're going to see most of this growth or all this growth coming in the back half.
Eric Vachon: Yep, yep, exactly.
Michael Tupholme : And is that full year number then like -- I think previously the expectation was most of that full year mid-single digit was going to be volume driven but given sort of that hasn't been the case in Q1, like is the full year composition shifting a little bit and how does that look as you look a little further out to 2026? Like do you still think it's going to be mainly volume or is there a pricing element here?
Eric Vachon: Yeah, at this point it's all going to be volume. We have different dynamics as we explain on the pricing depending on contract or non-contract. So at this point our growth is going to be anchored in volume volumes for the balance of this year and for 2026.
Michael Tupholme : Okay, all right, I will leave it there. Thank you.
Eric Vachon: Thank you, Michael.
Operator: Thank you. And the next question comes from the line of Martin Pradier from Veritas Investment Research. Please go ahead.
Martin Pradier : Yes, hi. Thank you. Thank you for taking my question. Is my understanding correct that the real earnings is 40 million, if I exclude insurance for the quarter?
Eric Vachon: You mean EBITDA results?
Martin Pradier : No net income. Your net income was 93 million, but I think it's 53 million the insurance adjustment.
Silvana Travaglini: So the insurance adjustment is $30 million on the EBITDA front, so basically once you tax affected, if you want to look at it that way -- probably you could use our effective tax rates, it's probably closer to $30 million impact.
Martin Pradier : 30 million net income would be also.
Silvana Travaglini: Yes, because 38 was basically an EBITDA impact.
Martin Pradier : Okay, perfect. And in terms of the new company that you bought, can you share how much was the sales and how much was the net income of that company in the last year?
Eric Vachon: Well, the trailing last 12 months sales for their fiscal year ended September was $55 million Canadian and we don't disclose margins or profit.
Martin Pradier : Was it making money?
Eric Vachon: Pardon me?
Martin Pradier : Was it making money, this company?
Eric Vachon: Margins are comparable to our utility pole business.
Martin Pradier : Yeah, but the net -- was it positive on the net income side? That's my question.
Eric Vachon: Of course, of course it's positive net income.
Martin Pradier : Okay, great. Thank you very much.
Eric Vachon: Thank you sir.
Operator: Thank you. [Operator Instructions] Your next question comes in the line of Maxim Sytchev from National Bank Financial. Please go ahead.
Maxim Sytchev: Hi Eric. Good morning. Eric wanted to come back to the comment you made around the sold out capacity at Lockwell. So does it mean that it's -- the projects on the transmission side are not being impacted by the same sort of delays we're seeing a distribution or is it just sort of the staggering of projects which is more driving kind of the visibility in the short term right now?
Eric Vachon: It's definitely a staggering of projects and the need for transmission, I guess, twofold; one, there is some replacement happening there for older structures, but there's also all the pressure that's being put on our customers by data centers requiring more energy and therefore as they're building capacity in different projects, they need transmission ones. So it's all of this dynamic currently that is creating a very favorable trend for the transmission business.
Maxim Sytchev: Yeah, no, 100%. I mean it looks like a great transaction. And in terms of going back to kind of the “legacy poles operations” like between sort of the interest rate pressures permits, what are the pain points right now at the customer level and I guess what gives you the confidence that the back half of the year will relieve some of these pressures?
Eric Vachon: Yeah, well obviously there's ongoing discussions with our customers and the projects that we're quoting that is showing some healthy momentum going forward. If I spend time listening to what our customers that are public have to say, if I look at in our top five 10 utilities have CapEx ambitions in the next four to five years that are in the billions of dollars. So they all acknowledge that there is a need to strengthen and harden the distribution grid. They acknowledge that they also need to invest in generating assets and require the transmission assets to be able to support industrial business, but as well communities. So all in all, I do agree that, and it's in our statement, there are some headwinds with uncertainties and probably higher interest rates in the US than where customers would like or when they establish their initial CapEx plans. But nonetheless, every quarter they reaffirm their intention to spend these billions of dollars over this four to five year period. And it sort of matches up when we have conversations with them and actually very excited now to be able to go meet them today and talk about the transmission needs going forward. So, that's that the reading we have on the market right now.
Maxim Sytchev: Yeah, no, that's perfect. That's it for me. Thank you. Appreciate your time.
Eric Vachon: Thank you, Maxim.
Operator: Thank you. And your next question comes from the line of Jonathan Goldman from Scotiabank. Please go ahead.
Jonathan Goldman: Hi, good morning team and thanks for taking my questions. Maybe just a housekeeping one to start. How much did weather impact pole and railway tie volumes in Q1?
Eric Vachon: Oh, well, very hard to quantify. You know there is some slowness there. I mean we don't split it out because it's actually a very difficult exercise. But, January was extremely cold and February had a significant snowfall, so it does slow down the activities for all three product categories for sure, but very hard to quantify compared to last year where winter was mild and spring came in very early. But I apologize, it's not something that we actually carve out and very difficult to do so actually.
Jonathan Goldman: No, fair enough. And Eric, you reiterated the expectations for mid-single digit growth in poles this year. I think the original guide you gave back in November was 6% to 7%. And you did address this earlier, but that implies a pretty significant re-acceleration in the second half. I mean you did talk about the customers and what they're putting out in terms of targets. But what are you assuming for the macro environment to hit those numbers in the back half of the year?
Eric Vachon: Well, honestly, we're sort of saying a steady state from what we've seen so far, right. It's very -- a lot of it is hard to predict obviously with decisions that are made with the US administration. So, the only assumption we can take is the current state we know -- with the context of tariffs that we know today and the current level of interest rates now. Our customers are taking all of this into account and themselves are using similar assumptions and if anything happens in a favorable sense, interest rates dropping, for example, well, that would definitely create a more positive momentum.
Jonathan Goldman: Okay, definitely. And then on the breakdown of price and volume in Railway Ties, I think the disclosure said it was predominantly volumes, but do you have the exact breakdown?
Eric Vachon: You could assume it's all volumes, honestly.
Jonathan Goldman: Okay. And then one more for me. On the Class 1 customer insourcing, can you speak some of the factors that may have influenced their decision and what gives you confidence this is an isolated case?
Eric Vachon: So I want to be respectful and not disclose names because -- but -- so there was one Class 1 customer who owned its own treating plant for several decades actually. And recent merger sort of brought it to light with the newly formed company and the newly formed company believes that they want to leverage that asset and use it going forward. We'll see how long they'll deem it a strategic asset and it's a customer that we know very well. We service for bridge timbers and switch ties and other specialty products, so we have good relationship with them. I would be very skeptical to see the other class ones start investing or acquiring good treating facilities. Historically, those -- a lot of railroads did own treating plants and they were all divested to the industry but I really do not see that as a possible scenario for the future.
Jonathan Goldman: Understood. Thanks for the time.
Eric Vachon: My pleasure.
Operator: Thank you. We have a follow up question comes from the line of Michael Tupholme from TD Cowen. Please go ahead.
Michael Tupholme : Thank you. Yeah, I just wanted to circle back on the outlook for Railway Ties, thinking about part about the last question there. So I think the prior guidance had been low-single digit organic growth for the year and then now it sounds like it's sort of flattish organic growth for the year. But given the 14% organic decline in ties in Q1, obviously you're still looking for a pickup. Did I understand that you believe you're going to win some new business or is this just trying to bridge, I guess, what you did in Q1 to getting this flat for the year, organic growth for ties, what needs to happen to make that possible?
Eric Vachon: I mean, every year all our customers, including Class 1s, have different projects that pop up and there are some opportunities that we can address. So there are a few projects that we're working on right now that will complete that shortfall if you want. And so we feel confident that we will have that extra volume in the next three quarters.
Michael Tupholme : Okay, that's helpful. And then in terms of Q2 though, is that -- is Q2 the expectation that that is also flattish or how do you see Q2 in terms of organic growth in ties?
Eric Vachon: Yeah, I mean the organic growth could be slightly lower. We should see a bit better pricing, honestly in the second quarter. So could it be flattish, perhaps both of them offsetting.
Michael Tupholme : Okay, thank you.
Eric Vachon: Thank you, Michael.
Operator: Thank you. We have no further questions in the queue. Please proceed.
Eric Vachon: Thank you, Ina. And thank you everyone for joining us today. We look forward to updating you on our second quarter call in August and we look forward to welcoming those who will be attending our annual meeting of shareholders later this morning. Until then, have a good day and stay safe.
Operator: Thank you. Ladies and gentlemen, this concludes today's call. Thank you for participating. You may now disconnect your lines.